Operator: Good morning everyone. And welcome to the Horizon Bancorp Conference Call to discuss financial results for the third month ending December 31, 2020. All participants are in a listen-only mode. [Operator Instructions] After today’s presentation, there will be an opportunity to ask questions. [Operator Instructions] Please limit yourself to one question and one follow-up. If you have further questions, you may re-enter the question queue. Please note this event is being recorded. Before turning the call over to management, please remember that today's call may contain statements that are forward-looking in nature. These statements are subject to risks, uncertainties and other factors that could cause actual results to differ materially from those discussed including those factors noted in the slide presentation. Additional information about factors that could cause actual results to differ materially is contained in Horizon’s current 10-K and related filings. In addition, the management [Indiscernible] certain non-GAAP financial measures that are intended to help investors understand Horizon’s business. Reconciliations for these measures are contained in the presentation. The Company assumes no obligation to update any forward-looking statements made during the call. If anyone does not already have a copy of the press release and supplemental presentation issued by Horizon yesterday, you can access it at the company’s website www.horizonbank.com.  Representing Horizon today are Chairman and Chief Executive Officer, Craig Dwight; and Executive Vice President and Chief Financial Officer Mark Secor. They will be joined by Executive Vice President and Chief Commercial Banking Officer, Dennis Kuhn for the question and answer session. At this time, I would like to turn the call over to Horizon’s Chairman and CEO Craig Dwight. Please go ahead.
Craig Dwight: Thank you, Anita, and good morning. And thank you for participating in Horizon bank Corp. fourth quarter earnings conference call. Our comments today will follow the investor presentation we published yesterday January 27. Starting on Slide 4, you'll find highlights that summarize Horizon’s excellent year, as evidenced by net income for 2020 increased by 3% over the prior year. Given all the obstacles that we had to confront, it was an impressive year and a true testament to the quality of our employees. Key drivers during the year were record one to four family mortgage loan production and mortgage warehouse volume, good expense control, and our ability to maintain a stable net interest margin. In addition, we maintained solid asset quality as evidenced by low NPAs, to total assets at 49 basis points in that chart drops at five basis points of total loans. We're also proud to state that for over 30 years, we have made uninterrupted dividend payments to our shareholders, and we have approximately 18 quarters of cash on hand at the holding company to cover fixed costs, including future dividends. Next slide 5 titled seasoned management team, you will observe that we are a seasoned leadership team. We have managed through multiple recessions and have overseen history of strong financial performance over the past 18 years. Of special note in December 2020, we promoted senior commercial credit administration officer Lynn Kerber and our General Counsel, Todd Etzler as our newest Executive Vice Presidents. As you'll see on Slide 6, we've completed 11 new organic market expansions and 14 mergers and acquisitions during this time continued. We're a company on the move and we continue to look for new opportunities in our current and adjacent Indiana and Michigan markets. With our proven track record as a successful consolidator, and the pressures that other banks are facing related to low interest rates in the challenging operating environment, we believe M&A opportunities will once again be available in 2021. Slide 7 clearly demonstrates Horizon’s track record for achieving our well established long term goals which include meaningful -- meaningfully outpacing GDP and industry growth and achieving balanced growth of 50% organic and 50% through mergers and acquisitions. In 2020, Horizon grew the balance sheet by 8%, excluding PPP loans. On Slide 8 we highlighted our primary market area in dark brown and dark green. Horizons markets represent diversified economies and excellent growth opportunities. Horizons expansion and growth has occurred primarily in college and university towns and state or county government seats. Therefore, a majority of our footprint has an economic base that is traditionally more stable than other areas of Indiana and Michigan. Horizon’s footprint is positioned well to take advantage of the outbound migration from Illinois, which continues to increase as consumers and businesses exit dense living spaces, high taxes and the high cost of living. Both Indiana and Michigan continue to show improvement in economies as evidenced by a reduction in unemployment rates. As of December 31, Indiana's unemployment rate was 4.3%, which is below the U.S. national unemployment rate of 6.7%. While Michigan's overall unemployment rate was 7.5%, a slight increase from November 30. The region's we serve in the western and central parts of the state are reporting levels ranging from 3.7% in Grand Rapids to 4.9% in Bay City, Midland area. Horizons footprint helps to geographically disperse credit risk was 60% of our loans in Indiana, and 40% in Michigan. Slide 9 highlights the primary markets where we are engaged in some exciting economic events that are taking place that will continue to enhance our markets. Moving to Slide 10, titled COVID-19 response, we continue to closely monitor the impacts of COVID-19 pandemic on the communities, customers and businesses where we operate. Indiana's numbers of daily reported positive COVID-19 cases were elevated in November and December and have started to return trend downwards in January. Indiana's current restrictions are comparable versus the prior quarters and are driven by county by county color code risk system. Michigan's positivity rates continue to trend downward and their protocols are still more restrictive than Indiana. The safety and wellbeing of our employees is our first priority and therefore we continue to adhere to safety protocols that will navigate the reopening stages in our markets. Currently all offices are open by appointment only. Prior to COVID-19 Horizon was well on its way to transforming its customer base to our digital platform. Though the impact of the pandemic due to limited branch access has accelerated the use of digital banking On Slide 11, looking at the chart on the right, Horizon’s average monthly transactions have shifted away from taking place in branches to the majority being processed through our digital and virtual channels. In December 2020, 73% of all transactions took place through our digital channels compared to 57% one year ago. As you'll see in the chart on the left, in December 2020 75% of all checking accounts were active online banking users and increased from 66% one year ago. Horizon was well prepared for this increase in digital activity. Other technology investments made in 2020 that focus on enhancing the customer experience included adding the fourth call center locations, increased service capacity and shortened wait times, expanding our interactive teller machines to allow virtual teller interactions at our over 27 locations with expanded virtual teller hours from 6am to 8pm, six days a week. This edition of chat and online account opening to improve customer experience in -- as of month end in December over 85% of horizons online chats are answered by bots. Now for the financial highlights it's my privilege to introduce to you Horizon’s bank's Chief Financial Officer and Executive Vice President Mark Secor. Mark?
Mark Secor: Thank you, Craig. Horizon’s fourth quarter results continue to demonstrate our ability to realize strong operating results and drop record earnings to the bottom line as we navigate the current environment. Starting with Slide 13, the company's fourth quarter results were the highest stated and adjusted net income, net interest income, pretax pre-provision income, non-interest income and earnings per share in the company's history. Several activities during the fourth quarter impacted these record results. We incurred prepayment expense on the retirement of high cost long term debt recognized PPP forgiveness fees through net interest income and recorded tax benefits from solar tax credit investments. We continue to build allowance with additional credit expense primarily for the stress loan sectors that we that have been identified. We believe, we are appropriately reserve given the current state of our portfolio, additional government stimulus and our seasonal modeling. Slide 14, the 17 basis point increases in the adjusted margin during the quarter was positively impacted by 18 basis points from PPP lending, as net fee income was recognized for loan forgiveness, compared to four basis points of margin contraction in the third quarter. In addition, excess liquidity compressed the margin additional seven basis points compared to three basis points in the third quarter. Slide 15, the loan yield was also positively impacted from PPP net loan fees recognized during the quarter, adding 15 basis points to the yield compared to a 13 basis point reduction in the third quarter. Higher purchase accounting income recognized in the fourth quarter compared to the third also positively impacted the loan yield. As loans continued to reprice and new product is originated at lower rates, some additional downward pressure on asset yield is expected along with a mix of additional investments, resulting in some margin pressure during 2021 as the opportunities to lower funding costs are realized. Slide 16, our strong core deposits continue to help reduce our funding costs. The CD portfolios 30 basis point decrease in pricing led the reduction in total funding costs as high costs term deposits matured during the quarter. 445 million of CDs with an average cost of 93 basis points will mature during 2021 and continue to reduce our cost of funds. The 4% growth in non-interest bearing deposits and two paste [ph] basis point drop in interest bearing deposit costs also contributed to margin stabilization in the fourth quarter. Slide 17. Since the first quarter of 2020, we've maintained a conservative and strong liquidity position. We also expect additional liquidity from PPP loan forgiveness and in the longer term warehouse loan balances returning to normal levels when long term interest rates start to escalate. To help utilize a portion of the liquidity building up in cash, we increased the investment portfolio over $100 million during the fourth quarter. Also, we prepaid 83 million of FHLB advances with a weighted average cost of 2.61% utilizing $62 million in cash and selling $21 million of investments. While our fourth quarter results reflected a net onetime pre-tax loss of $1.2 million on the prepayment, there will be less than a one year payback from the interest expense savings. Looking ahead, we anticipate additional growth in the investment portfolio and are currently working on adding $200 million to the portfolio. We will continue to look for additional opportunities as we see the need to utilize our liquidity and increase earning assets. Slide 18, record mortgage revenue from the gain on sale and the mortgage related income drove our record non-interest income as we saw non cash impairment charges to the mortgage servicing right asset flow in the quarter. It continued high level of mortgage production and strong percentage gains are the primary contributors to our solid non-interest income for the quarter. We also saw all other fee based income increase over the third quarter. Based on local and national refinancing activity, we expect strong top line contributions to continue from the mortgage business going into 2021. Slide 19. During the fourth quarter, we saw an increase in operating expenses, but improved the adjusted efficiency ratio to 56.5%. Increased salary and benefit costs were the primary driver of the increased expenses as our very strong fourth quarter and full year results merited higher performance based compensation payments and accruals. There were also increases in other operating lines, line items as investments were made for future efficiency efforts. As our increase in customer activity and the one time write downs to reduce the company's bank owned real estate assets. As many of you know, part of Horizon in the normal operating process includes a rigorous annual branch evaluations which has led to consolidations 25 retail locations over the last five years. We're currently in the process of another rigorous branch review as customer habits and change as more digital channels are being used. Looking ahead, we intend to continue our record of maximizing the efficiency and scalability of our retail franchise while further leveraging investments we have already made in digital, mobile and remote banking as well as our call centers. Slide 20, as we have discussed, we did adopt CECL at the start of 2020 and the $708,000 reserve bill in the fourth quarter was primarily driven by allocations for sectors of loans with potentially higher risk of loss due to the nature and characteristics of the portfolios. The percentage of the allowance to loan total loans was 1.47 at December 31, or 1.55, when excluding PPP loans, a balance of 11.5 million remains for discounts on acquired loans. Slide 21. Horizon continues to maintain a strong capital position in these uncertain times, supplemented by our $60 million subordinated debt raised in June. Accordingly, at December 31, the holding company had just over $127 million in cash, representing approximately 18 quarters of fixed costs which include interest on all debt, operating expenses at the holding company and the current shareholder dividend level, which we are committed to maintaining. Overall, we are very pleased with our financial performance for 2020 in this very challenging year. We believe, we are well positioned for it from a credit, liquidity and capital perspective, and look forward to refining our operating models to further improve our results in the quarters ahead. For some additional comments on our loan portfolios, I'll turn it back over to Craig.
Craig Dwight: Thank you, Mark. Looking at the chart on the left on Slide 23, Horizon’s $3.8 billion in total loans are well diversified, with 50% in commercial loans and 43% in residential and consumer loans. At Horizon, we like this loan mix as it diversifies our credit risk and provides advantages to manage our net interest margin. The chart on the right provides the granularity within our commercial loan portfolio, which itself is well diversified. Our single largest sector is in the residential multifamily housing loans at 6% of total commercial loans and this segment continues to perform well. Other key points to make, Horizon manages capital at risk by maintaining an in-house lending limit at $30 million, which is well below our legal linear limit of approximately $78 million. Our granularity is further enhanced by the fact that Horizon’s average commercial loan is only $304,000 excluding PPP loans. Now moving to Slide 24, as of December 31 Horizon’s loan deferrals declined to 3.3% down from its peak of 14.3% on June 30. The majority of our dollars under a loan deferment are still in the commercial loan portfolio, with the consumer and mortgage loan deferrals remaining low at less than 1%. Overall Horizon’s deferral rates are in line with peer banks. The number of commercial loans and payment deferrals as of December 31 totaled 55 down significantly from the June 30 total of 670. Horizon’s commercial lending team has been diligent in meeting with our business customers to update their financial plans into place a loans back on regularly scheduled payments. Of the commercial loans on deferral 95% of the dollars are making interest only payments and only 2% or 5% of those loans in deferral are making our deferred for principal and interest. The two loans on principal and interest deferrals are the same sponsor and represent two hotels in various stages of construction or remodeling. The borrower and guarantors have an excess of 20 million in cash on their balance sheets, so this deferral has minimal credit risks and reflects more retention strategy. Interest payments on these loans are scheduled to resume in April of this year. Slide 25 reviews our diversified commercial loan portfolio. Horizon is a traditional regional bank offering a standard line-up of commercial loan products through an experienced and seasoned team of lenders and credit administration staff. We have a history and culture of prudent commercial loan underwriting, and commercial loan asset quality metrics continued to be favorable, favorable at quarter end. Moving to Slide 26, titled, sectors with escalated monitoring. Horizon continues its elevated monitoring and ozone segments that exhibit the most -- emphasis for high rate deferrals. As of the year end, the majority of the Horizon’s payment deferrals were made to hotels, with the other non-essential businesses seeing considerable improvement in the fourth quarter. The portfolio segments that we are continuing to monitor include hotels, restaurants, leisure and hospitality. Hotel payment modifications continued to be the highest percentage of any sector it increased from 58% of total loans outstanding as of September 30 to 72% as of December 31. This increase is due to the second COVID-19 wave starting in October and the resulting drop in occupancy rates. 19 to 20 hotel loans that are modified are making interest only payments and two are on principal and interest referrals. The cover we have with this portfolio is that our borrowers are long time operators, have managed through multiple economic cycles and 71% of the -- total dollars in our hotel portfolio 101 million. The sponsors have access to liquid assets in excess of $10 billion per relationship. I'll touch more on hotels in just a minute. Next, the restaurants. This portfolio continues to perform well with only 2.7 million in deferment, with all borrowers making it minimum interest payments and no loans having principal and interest payment deferrals. Our corporate in this portfolio is due the fact that the average loan amount is low at 365,000. Good current performance, long term owner operators and good franchises. Next, leisure and hospitality. Overall, this segment is performing well with only one loan in the amount of 130,000 been under a monthly interest only payment modification. This industry segment consists of a diverse group of borrowers including golf courses, bowling centers, movie theatres, fitness establishment since one zoo. All entities are open with the exception of one Indianapolis business that went into non-accrual during the third quarter due to the closing of related COVID-19 restrictions. In general, we have strong uncooperative borrowers with small average loan balances of 529,000 and low loan to value ratios on our largest segment this portfolio consisting of golf courses. Most golf courses actually saw an increased number of rounds played in 2020. Slide 27, titled Hotel Sector locations you'll see in the map that exhibits the locations of Horizon’s loans secured by hotels and as you can see the vast majority of the hotels that we financed are located along an interstate highway or resort communities. Hotels located along Interstate highway ways are rebounding faster than those located in metropolitan areas where they are dependent upon sporting or convention venues. Our hotel loans in our portfolio are open for business, with occupancy rates dropping in October, in November as a result of the COVID-19 second wave. The average decline from October, November was 50% to 38% for occupancy. Even with the stress of COVID-19, Horizon continues to report strong asset quality metrics in the fourth quarter which you can see in slide 28. The chart in the upper left corner exhibits low total net charge-offs in the last five quarters of less than two basis points. The chart in the upper right corner credit loss provision expense was low throughout 2019. And for 2020, Horizon’s provision expense was higher to build reserves due to the early adoption of CECL and primary related to the kind of metrics and the general allocation for the nature and characteristics of our loan portfolios during this pandemic. The chart in the lower left exhibits Horizon’s total non-performing loans to total loans, which is still low and manageable as of December 31, at 69 basis points. During the fourth quarter, we experienced a slight decline in non-performing assets primary resulting from payoffs received on distressed commercial loans. The chart in the lower right corner allowance for credit loss exhibits Horizon at 1.4% of total loans, which is in line with the other 20 banks that have adopted CECL. Horizon’s credit loss reserves to total loans, excluding PPP loans was at 1.51%. On Slide 19 [ph] you'll see key franchise highlights. We are a seasoned management team who has managed through multiple economic cycles, excellent geographic diversification and good quality markets, strong credit culture, high quality well diversified balance sheet, robust capital position, historical earnings run rate, even during the Great Recession. 30 years of uninterrupted dividend payments are common shares. Overall, good year. This concludes today's fourth quarter earnings presentation and operator; please open the lines now for questions. Thank you.
Operator: Thank you. We will now begin the question and answer session. [Operator Instructions]. The first question today comes from Terry McEvoy with Stephens. Please go ahead.
Terry McEvoy: Good morning, guys. How are you?
Craig Dwight: Good.
Mark Secor: Hi. Good morning, Terry.
Terry McEvoy: Maybe, Mark, a question for you. How should we think about expenses in 2021? I appreciate all the data on active bank users and transaction volume. And you kind of hinted at maybe some opportunities to consolidate some branches with more news to come. So, with all that said, what should expenses kind of trend and look like this year?
Mark Secor: Well, the fourth quarter was heavily loaded on the salary and benefits side as we expecting on first part of the year, we didn't foresee where we were going to be -- but we thought where we were going and didn't have the accruals where they should be. So I think the year -- looking at the full year, the salary benefits expensive is a good picture of where we should have been for the entire year and moving into 2021. We had some other elevated expenses here in the fourth quarter, which we alluded to. And some of the one-time items that are normal operating. But in the other expense category where we had some write-downs on bank owned properties, as we're trying to get those take or those who out of the balance sheet. And then there was higher customer activity, which that could maybe loan expense and so forth could continue through next year. But we are looking at the branch rationalization. There will be more to come on that as we get into this year. And we are looking for ways. But we also are looking to where we need to reinvest some of that as we look at that branch rationalization to reinvest it into future earnings. So, Terry, we never giving exactly forward looking statements. But I think the full year of expense is a pretty good basis to start with. And then, we're going to do. What we can to maintain the level. Although there are some times in the inflationary or pressure to or needing to move up for salary benefits and so forth for increases going into 2021.
Terry McEvoy: Thanks. And then just as a follow up, it sounds like over the near term mortgage business should remain pretty healthy. Though the industry is kind of -- folks are suggesting it declines throughout the course of 2021. What are your thoughts on kind of full year mortgage revenue, as well as just the mortgage warehouse which ended the year almost with $400 million?
Mark Secor: Yes. I think as we look at it, we follow the mortgage banking direction that they were looking for about a 30% decline based on this year. Obviously, coming into the first quarter here, we still are at elevated levels, both refinancing and purchase. But I think following the guidance that we're seeing from the national industry is probably pretty good. Look at what we're anticipating, which will also impact the warehousing as we get into the rest of the year if its level slows.
Craig Dwight: Yes. Terry, this is Craig. We are directly in line with the refinance indexes that are published. So whatever trend they're taking is the same trend that we'll be taking. It just been historical norms.
Terry McEvoy: Thank you.
Craig Dwight: Thank you.
Mark Secor: Thanks.
Operator: The next question comes from Damon DelMonte with KBW. Please go ahead.
Damon DelMonte: Hey, good morning, guys. How's it going today?
Mark Secor: Morning good morning, David.
Craig Dwight: Hi. Morning good morning, David.
Damon DelMonte: Great. So first question just on the margin. Mark, could you just elaborate a little bit more on your outlook there? I think you were saying that the core margin should probably trend a little bit lower during the course of the year. And then you kind of you talked about some of the puts and takes around that and what could be some of those factors. Could you just kind of go back over that, please?
Mark Secor: Yes, Damon. Our focus is -- since we have this liquidity and we had a lot of excess cash even as we're continuing to try to find ways to utilize it with excess cash again at the year end. So, there is going to be some natural pressure on the loan yield just from some refinancing or the new product that comes on and rates are down. But I think the loan yields are -- we're seeing those starting to stabilize, and the repricing is working its way through. I think the pressure is going to be more on the mix of the assets. And we'll stated that, we're looking to put $200 million more into the investment portfolio at lower yields. So I think that's going to put the pressure on the asset yield. We have some of the benefits out of the CD portfolio rolling off and that is on the funding side. So we'll see some pickup there. But I think I think the mix of the assets is probably going to have the biggest impact to the margin. So we're focused on growing net interest income. So we want to get our cash to work. We want to look for ways to increase net interest income and continue to grow that. And the margin wind up where it is, depending on the mix of those assets.
Damon DelMonte: Got it. Okay, that's helpful. Thank you. And then, I guess just maybe a broader question for Craig. You mentioned that if you thought that M&A opportunities could be arising here in 2021, could you just give us a little refresher on your geographies and some of the characteristics you look for? And then also, could you comment on market disruption and maybe follow opportunity from the HBAN's TCF transaction that's was announced? Thank you.
Craig Dwight: Yes. Thank you, Damon. Some of you might be surprised that our primary focus is Michigan, Indiana and Northwest Ohio. We are not looking at Illinois anymore, primarily because the COVID-19 pandemic has exacerbated the issues and problems in Illinois that I think there'll be a long term duration. And so we're avoiding opportunities in that state. But in Indiana, Michigan, Northwest Ohio, we are hearing discussions, taking place again, people are at least talking about possible M&A. We saw some recent announcements come out that I think are encouraging. So yes, I think 2021 we'll see a reemergence of M&A in our target footprint. Regarding the Huntington TCF acquisition, whenever there's market disruption, we pursue it vigorously. We pursue not only talent, we pursue customers through increased advertising dollars. This will be TCF's third systems change in three or four years. I can't remember the time period. That's a lot of disruption for their customers go through. So we think there's opportunity to pick up not only talent, but as well as customers going forward. Thank you for the question.
Damon DelMonte: Great. Thank you.
Operator: [Operator Instructions] The next question comes from Nathan Race with Piper Sandler. Please go ahead.
Nathan Race: Yes. Hi, guys. Good morning.
Craig Dwight: Good morning.
Nathan Race: I was hoping to just kind of expand on just the loan growth outlook. I have PPP this year. Obviously there's some opportunities with the M&A related disruption in some of your geography. So just curious if there's an update from I think there was kind of a flattish outlook at PPP last quarter. Are you guys feeling kind of more less constructive just in terms of organic loan growth for 2021?
Craig Dwight: Yes. I'll take a stab at it and then we'll have Dennis Kuhn maybe give us some insight in the commercial side as well. Our objective is to maintain loan outstanding for the year, which will be commendable considering PPP forgiveness that's forthcoming. That said, we don't see that taking place to third and fourth quarters. And what's interesting is our commercial line of credits have actually had a considerable decline because of the PPP proceeds in a permanent working capital that's gone into some healthy businesses. So until they burn through that cash, we don't see that line of credit usage picking up unlike we -- what we earlier thought might happen where there'd be a higher utilization. But now commercial should rebound in the third and fourth quarter. We plan to invest in commercial lenders, try to take advantage of the TCF Huntington transaction. And so how long will it take to build that pipelines? With that said, we had growth in some of our key markets. The Michigan market had a very good year last year. We had some payoffs in Indianapolis. So they slowed down. But the pipelines are starting to rebuild. So our growth markets, I think will return and be promising again going forward. And we have historically taking our profits from the mortgage business during the good years, and reinvested in commercial lenders for future growth. That's what we plan to do in this year. Dennis, do you want to add to that.
Dennis Kuhn: I think that was an excellent response. And again, as Craig said, the performance in our key growth markets, including the metrics you're hearing today on unemployment, such bode well for those markets who are active. And our sense at this point is that over the fourth quarter and early 2021 here we're seeing some growth in pipelines. So there are opportunities that are starting to come to the front. It is of course, very competitive. But we will be again, looking for opportunities with regard to the Huntington TCF upheaval as well.
Nathan Race: Got it. That's great color. And just changing gears a little bit and thinking about capital deployment. Obviously, appreciate your comments just with M&A over me and ongoing, like consideration these days and with the stock has been bounced back a little bit. Just curious on your kind of updated thoughts on going back to your repurchases and just the overall upside there. And what's your remaining authorization as well, along those lines?
Craig Dwight: Well, Nathan, as we continue to grow earning assets faster than capital. I'm sorry, the vice versa, capitals growing faster than earning assets, we do have to do something with that excess capital. So we are seriously looking at our dividend as well as stock repurchases in 2021. I'm not sure when those will start. But it's definitely on our table. And the third thing is the acquisitions would also take a part of that capital.. Mark, do you want to add some thing.
Mark Secor: I just going to say, we had about -- our current repurchase plan, we have about 1.8 million shares left in that plan.
Nathan Race: Got you. And just as a follow up, Craig, just curious, with the credit picture becoming a little more clear these days, is there a payout ratio that you guys are targeting this year in terms of both buybacks and common dividends relative to historical peers? I think it's been in the 30% range or so. Any updated thoughts along those lines?
Craig Dwight: Nathan, we try to keep our payout ratio in line with peers into increase dividends directionally with earnings improvement. And we've done that historically. And so, I would see that changing. Where in the past, we were a very low end payout ratio, we were at 25% or below. We're more in line with peers now, 30% to 35%, and I don't see that going backwards. We've kind of -- what's the word we look for? We're more mature company versus five, six years ago. We had rapid growth with all the mergers acquisitions, we needed to retain the capital. That is less of an issue today as we are much larger company.
Nathan Race: Great. Got it. I appreciate all the color. Thanks guys.
Craig Dwight: Thank you for the questions.
Operator: The next question comes from Brian Martin with Janney Montgomery. Please go ahead.
Brian Martin: Hey, good morning.
Craig Dwight: Good morning, Brian.
Brian Martin: Hey, just one follow up, Mark, on the margin question to the dollar if that interesting? Can I guess if -- can you just talk about maybe what you -- how you think about the dollars of net interest income if that's more of the focus, just from a growth perspective, assuming that the PPP kind of muddies that up? But just how you're thinking about expectations for 2021 versus 2020 on the dollars of net interest income given the fluctuations in the size of the balance sheet here?
Mark Secor: Yes. I think it's just general direction, Brian. I can't give you amount obviously. But I think because we talk about the margin, I think as we hopefully see the loan yields stabilized through the year as we continue -- as we've repriced the portion. I think there's still a slight pressure, but they are stabilizing. Under the current scenario, right now, now, we have different economic indicators. There's economic issues that could change throughout the year. So I think the biggest impact to be able to see, what would be the net interest income would be putting in the additional liquidity into the investment portfolio. And we already said, we're working on $200 million, but we also have additional liquidity coming from PPP forgiveness, as we get through the year, and through this -- lot of this current round. That's going to help put on more assets for a while, but those will come back. And last round, we picked up quite a bit of cash through that process is that money was sitting in our transaction accounts, along with the warehousing we'll create liquidity. So, I think it's going to be -- I think it's our goal to grow net interest income. But I think there's going to be pressures, because getting rid of the warehousing and PPP loans and the fees, those are going to be higher yielding than what we can put on with investments. And as part of the driving factor we'll also be where our deposits go. If we start to see deposit outflow then we will be able to reduce some of the balance sheet. But really the deposit flow is driving -- the deposit levels are driving the need to put the cash into earning assets.
Brian Martin: Got you. Okay. That's helpful.
Craig Dwight: And, Brian.
Brian Martin: Go ahead.
Craig Dwight: Brian, this is Craig, good morning. If we just maintain the dollars and margin or have a modest increase, we're going to be doing very well given I anticipate the credit provision expense should not be anywhere near that it was in 2020. And that we've built up adequate reserves. So, the strategy is to bridge this year to get to 2022, where you're going to see a return of pretty good growth numbers in the stronger net interest margins as we shrink the investment portfolio and put it back into higher earning assets. So that's our plan. We've done that before in other recessions, in other mortgage boom times. I think it's worked pretty well.
Brian Martin: Yes. Okay. Thanks, Craig. And maybe just -- my next question was just on that comment, Craig on the reserve builds, and just kind of where things are adding. And the credit quality was obviously, very strong here, but you guys had some build in the quarter. Just kind of how to think about the reserve, kind of post COVID here, kind of where we may trend to or how to think about that?
Craig Dwight: Yes. First of all, I think CECL is working as intended. We could all talk about the mechanics of it, and it's different in each bank. But that's how we manage our reserves back in the 80s. We set aside earnings during great years for a future losses. And that's what's taking place now. So I think CECL is working. But what I'm encouraged about is that the number of loans are smaller. Our hotel sector was actually doing very well this summer through October with higher occupancy rates, because they are primarily hotels, located along highways and resort communities. Thanks to the Chicago influx of people coming over to the resort communities. And then the second round of PPP is going to get them through this next summer. Will they have the occupancy rates in average daily room rates they had two years ago? Probably not. But then cash flow have decent and modest returns to their investor. But nothing like they had with them. Previously they haven't -- what I would consider egregious returns to their investors have given the demand. We're not in conventional progress. I feel pretty comfortable that segment going forward from additional allocations in the stimulus money coming out. And that's true for our other non essential businesses. The PPP program has worked to bridge that gap. So from a credit quality standpoint, get us through to the other side which we're hearing the summertime. I believe there is pent up demand for the retail consumer sectors. Probably not the business side who's sitting on all this cash, but definitely on the retail consumer side. I'm not sure about you, but I can't wait to travel again.
Brian Martin: Yes. Help, for sure. And maybe just given your comments on the hotel, the level of credit size assets, I think you guys gave the classifieds in the release. But just how the credit size levels trend this quarter?
Craig Dwight: Yes. I'll make a broad comment, and let Dennis talk about it as well. Two things that I want to state. Number one, when we gave modification, we downgraded the credit. I'm not sure all banks are doing that. Number two, our third-party independent to loan review company recommended to the board which we accepted to do a deep dive into our troubled sectors. They looked at a lot of loans, over 100 loans. And came back to the board at our meeting in December and said basically, that we were perhaps one of the best banks they've seen, how we address and attack the distressed sector. So that gives me a lot of confidence in how our team manage their accounts. When I would talked about their plans to cut costs. Look for capital alternatives to help them get to the other side. So very proud of what we've done. But with that, we did have an increase in substandard loans in the fourth quarter. And I let Dennis talk about that, Dennis?
Dennis Kuhn: Sure. Yes. We saw an uptick of about $11 million, or 12% during the fourth quarter as centered in commercial a course. Seven relationships, largest was about $8 million. That's a agribusiness, seed distributor, who's working on a recapitalization and potential payoff here during the first quarter, second quarter latest. Several other credits, a couple of manufacturers, couple of [Indiscernible]. So nothing really that I think that we see. As Craig said, we're actively watching our loans, of course, managing those, putting together workout plans that have worked, as you saw with the decrease in nonperforming during the fourth quarter, two loans in particular paid off, and those were favorable results to the bank, we didn't take additional losses on those. So again, it's just repeating our history of identifying, working a plan and limiting our charge off.
Craig Dwight: It was surprised me in quarter end our industry been true all year. Our asset based loans have primarily been in formula. Throughout the year, we've had a couple now that have gone out of formula, but it's because of growth, the formula, the asset based formula has less dependence on inventory. Their inventories building, they has their -- and they haven't booked a cell yet. They're building inventory. And we think they're going to be back in formula here in the first quarter. So even though we've downgrades in the credits in the manufacturing side, they actually performed pretty well.
Brian Martin: Got you. And just to be clear, Dennis, the comment on the $11 million, was that the classified level? Or was at the level of credit size, including special mention, or did you mentioned special mention?
Craig Dwight: That was in the substandard, so substandard category.
Brian Martin: And how did they get inclusive of the special mention. So the credit size number, how does -- was that direction of the same way? Or how does that trending the quarter?
Mark Secor: There was significant impact. As Craig has mentioned, when we modified loans, we took a one step downgrade. So there was certainly additional movement early in the year within the special mention. But as we've progressed, and we're getting the opportunity to review those credits, again, we are seeing, again, they're stable, they're making payments. And we are starting to actually see some reversal of that and we'll over time we expect special mention will actually reduce. So, there'll be of course, some level of migration. But again, what we're seeing at this point has been favorable.
Craig Dwight: Yes. Brian, by example, most of our hotels went into special mention, someone in substandard. But 71% of our hotel dollars outstanding have sponsors with 10 million plus in liquid assets, very well heeled sponsors that can support the portfolio going forward.
Brian Martin: Got you. Okay. Thanks for taking the questions, guys.
Craig Dwight: Thanks for the questions, Brian.
Operator: This concludes our question and answer session. I would now like to turn the conference back over to Craig Dwight for any closing remarks.
Craig Dwight: Thank you Anita and thank you for participating in today's earnings call. And we look forward to speaking to you again hopefully in person in the near future. Let's get to the other side of this pandemic. Thank you. Have a great day.
Operator: This conference has now concluded. Thank you for attending today's presentation. You may now disconnect.